Operator: Good afternoon, and welcome to the Topgolf Callaway Brands’ First Quarter 2025 Earnings Conference Call. All participants will be in listen-only mode. [Operator instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Katina Metzidakis, Vice President, Investor Relations. Please go ahead.
Katina Metzidakis: Good afternoon, and welcome to Topgolf Callaway Brands First Quarter Earnings Conference Call. I'm Katina Metzidakis, Vice President of Investor Relations and Corporate Communications. Joining me on today's call are Chip Brewer, our President and Chief Executive Officer; Brian Lynch, our Chief Financial Officer and Chief Legal Officer; and Artie Starrs, Chief Executive Officer of TopGolf. Earlier today, the Company issued a press release announcing its first quarter 2025 financial results. Our earnings presentation as well as earnings press release are both available on our Investor Relations website under the Financial Results tab. Aside from revenue, the financial numbers reported and discussed on today's call are non-GAAP measures. We identify these non-GAAP measures in the presentation and reconcile the measures to the corresponding GAAP measures in accordance with Regulation G. Please note that this call will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from management's current expectations. Please review the safe harbor statements contained in the presentation and the press release for a more complete description. With that, I'd like to turn the call over to Mr. Brewer.
Chip Brewer: Thank you, Katina. Good afternoon, everyone, and thank you for joining our call today. Starting on Slide 4. Q1 was a strong quarter for our company, as we met or beat expectations in all segments of our business. I was particularly pleased with the margin improvement in our products business as well as the consumers' response to recent initiatives at Topgolf. On the strategic front, we were pleased to announce an agreement to sell Jack Wolfskin to ANTA Sports, a transaction that will enable greater business focus as well as provide further financial flexibility as we move forward on our strategic process for TopGolf. Before I go into the segment results, I'll provide some comments on tariffs and their impact on us, both in the near and long term. Needless to say, it's tough to predict the exact impact at this point, as we can't be sure what the final rates will be. During our last call, we forecast approximately a $5 million impact based on what we knew at that time. As of this call, and assuming current rates of approximately 10% for all countries of origin other than Mexico, Canada and China, this year's unmitigated impact would be approximately $25 million, an increase of $20 million versus our last call. Looking forward, if these are the final rates, we believe we will be able to mitigate some portion by further optimizing operations and accelerating cost reduction and margin programs. We then believe we will have the ability to pass the balance on with only a minor impact to demand. We believe we are benefiting from having been proactive on cost and margin initiatives over the last 12 months and then accelerating them further recently as well as from the scale, brand strength and capabilities of our organization. Having said this, we'll be watching the economy and resulting demand side closely, as the risk of a further slowing of consumer activity has certainly gone up. And to be clear, my primary concern is on the demand side, and that outcome is unknowable at this point. Fortunately, as previously communicated and shown in Slide 14 of our presentation, it's worth reminding ourselves that golf equipment has not historically been sensitive to mild recessions. Continuing on the U.S. tariff front, Vietnam is our primary country of origin for both golf clubs and TravisMathew apparel. However, we also sourced goods from Taiwan several other ASEAN countries, Peru, Bangladesh and others. Fortunately, we source very little from Mainland China for sale into the U.S. For the North American market, we assemble our custom golf clubs in Mexico. But even at a 25% U.S. tariff, the cost impact is small since it is a value-added tax and the assembly is not a significant expense. On the ball side, I'd expect those of us that have had scaled and full manufacturing capabilities in the U.S. to be better positioned long term. And it is also worth mentioning that recent exchange rate movements appear to be tied to the recent tariff policy and a weaker dollar is decidedly positive for us, as approximately 40% of our products business is outside of the U.S. Now turning to our segment performance. Starting with Golf Equipment. Both revenues and operating margins were ahead of expectations and feedback on our product remains strong. In the driver category alone, Elyte was awarded 15 out of 15 stars on the U.S. Golf Digest Hot List, was named Today's Golfers expert Choice in the U.K. and our Elyte Triple Diamond Model was named Golfspy's Most Wanted Driver. Turning to Q1 results. Our operating margins are benefiting from cost reduction and margin initiatives that we put into place over the last 12 months. Segment OpEx also benefited from a lease termination incentive in our Japan subsidiary, which Brian will give you more color on during his comments. U.S. rounds played were up 3.8% in March, but down a little year-to-date, simply reflecting the weather and overall demand in key global markets remain good through Q1. As expected, our market shares are down a little this year, reflecting a more competitive launch cadence, but I continue to feel good about the Golf Equipment segment, our brand and our outlook. In the Active Lifestyle segment, there is little new to report from an operational basis. Based on customer feedback, market conditions remained challenging in Q1, down mid- to high-single digits, which was a continuation of last year's trends. Revenues in this segment were down in the quarter, primarily due to lower sales at Jack Wolfskin Europe, which was largely anticipated and planned for. Segment operating margins were up year-over-year, reflecting our cost reduction and margin initiatives. The biggest news in the segment is the agreement to sell the Jack Wolfskin brand later this quarter or early next. And I'd like to thank the Jack Wolfskin team for their work while a part of the top golf Callaway family. In particular, the efforts to right-size and reposition the business over the last year. I think the proposed transaction is a good outcome for all involved, and I wish the Jack Wolfskin team's success going forward. Turning to Soft Golf our same venue sales were down approximately 12% for the quarter, within the guidance range we provided during our last call, but towards the higher end. Importantly, we saw positive results from two key initiatives that started in mid-March, Sunday Funday and Topgolf Nights. Sunday Funday was especially impactful driving more than 20% improvements in same-day traffic. Stepping back to look at the big picture. From a positioning perspective, Topgolf continues to enjoy an enviable consumer position. Both golf and experiences like Topgolf remain on trend with consumers and Topgolf appeals to a wide audience, not just golfers but society at large with an average income of approximately $100,000 per year. Topgolf also has a significant defensive moat, high venue returns and the demonstrated ability to drive further improvement in venue margins, and consumers continue to enjoy the experience. As shown on Slide 15, and using external data, our fund scores remain high and consumer feedback on the experience remains definitively positive, both in absolute terms and relative to our competitive set. But over the last 18 months, as the mid-income consumers become more stretched, Topgolf has begun to be perceived as relatively expensive. And in a slowing consumer environment, this is a significant but. As a result, to better drive long-term same venue sales through economic cycles, we have made the strategic decision to reset the positioning, while at the same time continuing our efforts to drive efficiency as well as continually improving and refreshing the experience. Although we will remain a premium brand and experience, we have done extensive analysis and have a definitive plan to change our value perception, and to do so while protecting and growing long-term profitability. Sunday, Funday and Topgolf Nights are two excellent examples of key initiatives towards this end, and Artie will share others with you as well. Let me be clear, we view this as a big change with significant upside, one that will be particularly important as Topgolf transitions to a separate independent company. As we change the consumers' value perception on Topgolf, we will open ourselves up for both more new and repeat customers throughout inevitable economic cycles. We can and we will do this, while also driving an improved experience and long-term margin growth. With these new initiatives, we expect to see meaningful and nearly immediate progress on traffic, and we have. They will have a positive but lesser impact on same venue sales as part of the traffic growth will be offset by a higher mix of value-oriented daytime pricing. In the near term, these initiatives will temporarily pressure venue margins. Fortunately, we believe we can offset most of this impact in the short to midterm and are maintaining our full year EBITDA guidance for Topgolf. Long term, we continue to see upside in venue level margins. Artie will give you more color on all of this, including more specificity on the initiatives during his comments. Turning to Topgolf's balance of the year, same venue sales and revenue guidance, given the slow start to the year and economic uncertainty, we are revising the revenue in the same venue sales guidance to down 6% to 12%. For Q2 specifically, we expect a similar range of down 7% to down 12%. Now switching to the Topgolf process. We remain 100% committed and active in the process. We are still evaluating both the spin and the sale, and we continue to work towards a solution in the second half of this year. However, a lot has changed since we initially announced our intention to separate last September. As a result, if we spin to avoid RemainCo having too high leverage, the capital structure we are now planning for Topgolf will be different than what we previously communicated. Having said this, in the spin scenario, we remain 100% committed to positioning both RemainCo and Topgolf in strong financial positions with manageable leverage ratios and promising futures. Brian will give more color on this during his comments. Finally, turning to our full year total company guidance, thanks to our strong first quarter, confidence in our operating abilities and some help on the revenue side via foreign exchange, we are pleased to be able to hold our financial guidance other than the impact of the now planned sale of Jack Wolfskin. This guidance assumes the impact of current tariffs net of actions. The guidance does not assume further tariff escalation or an economic recession. This is clearly going to be an interesting year. But based on what we know at present, we remain well positioned to hit our full year numbers, build on our core strengths and unlocked value via our strategic processes. We remain excited and optimistic. Artie, over to you for a more in-depth view of Topgolf and then to Brian for CFO comments.
Artie Starrs: Thanks, Chip. I'd like to share our performance for each of our key focus areas, along with what to expect for Q2 2025 and balance of year, starting with same venue sales. As Chip mentioned, Topgolf's Q1 same venue sales were down 12% and in line with our guidance. Three plus bay corporate events were down 13%, and the one to two bay business was down 12%. One to two bay traffic was down 8% and average spend per visit was down 4%. And while same venue sales were challenged in Q1, we have made substantial progress in the focus areas, more compelling and accessible value, new and relevant experiences for our players and a streamlined corporate structure. Our number one priority is to drive traffic growth and improve value perception, which we believe is key as we navigate the current environment and for the long-term health of the brand. Overall traffic in the second quarter through April is approximately flat year-over-year with one to two bay traffic up low single digits. We can directly attribute this to specific new offers and meaningful improvement in our price value consumer metrics. I'll cover in more detail the specific initiatives driving these results, but first, I'd like to comment on the consumer and our events business. As we enter Q2 on the macro front, we are clearly seeing a price-sensitive consumer. While traffic was positive in April, same venue sales were down approximately 10% with three plus bay down 17% and one- to two-bay down 8%. We continue to see players manage their spend, which we are addressing with targeted food and beverage offerings, which cater to group social locations. In addition, our events business is pressured as corporate spending on team outings and entertainment has reduced. It's clear that our corporate events business is going to be challenged in the near term, and we have modified our operating structure accordingly. Lead volumes are down significantly, but we are providing more flexibility on rate and time for event planners, which has led to increased conversion rates. This softer outlook for our three plus bay business is contemplated in our revised 2025 same venue sales guidance. A bright spot is an increase in youth events, where our team has done a fantastic job of marketing to youth organizations. These events provide great brand exposure to a core audience. Overall, Topgolf events remain an outstanding and differentiated offering, and we are confident in our competitive position. As I mentioned, one- to two-bay traffic through April has improved significantly. Average spend per visit is down high single digits, driven roughly equally by the removal of booking fees, which we believe is absolutely the right thing to do for the consumer, as well as the increased mix of our value offers and lower alcohol attachment rates. I'm particularly excited about the player response and brand impact of two key new initiatives, which Chip mentioned earlier. Sunday Funday and Topgolf Nights. Sunday Funday promotes an appealing family-oriented message has outperformed the balance of the portfolio by low single digits on weekly sales year-over-year and high single digits on traffic. We have rolled this offer out to 80% of our venues. Topgolf Nights is having a smaller but still positive impact on sales and traffic, and is focused on appealing to the younger late-night portion of our audience, driving late-night utilization and adding energy and fun in the hours following peak Friday and Saturday evening. Our venue teams are doing an extraordinary job executing on these offerings with fun scores continuing to improve year-over-year. Leveraging the learnings from Sunday Funday and Half Price Tuesday, in April, we began testing expanded value offerings from Monday through Thursday. Currently, we are in 40 venues. And while early, we are encouraged with the results and promising sales and traffic readings to date. With this increased traffic, we've added a Funday Favs appetizer optimized for groups of four or more. In addition, with more walk-in players, we're making sure that Topgolf is providing a great experience, not only in the bays, but also at our bar areas with new $5 drafts and $6 margaritas available in most markets. The early results are very encouraging in average spend per visit and overall attachment. These investments in expanded value alongside the softness in three plus bay events will impact our venue margins in the near term. As a result, we are updating our outlook for EBITDAR margin and now expect an approximate 100 to 200 basis point decline year-over-year to approximately 32%. However, we are holding our full year adjusted EBITDA guidance as we are managing our corporate expenses to help support these investments. We will see significant long-term margin opportunity for our venues and have proven our ability to grow these margins. This year, we continue to test, optimize and roll out changes to our labor model, which will drive efficiencies and position venues to grow EBITDAR over the long term. We are choosing to invest in these traffic and brand driving initiatives while still ensuring we provide the great player experience we are well known for. Alongside these offers, we've continued to make enhancements to the experience. In addition to our 120-minute reservation, we've now rolled out 90- and 60-minute reservations to drive utilization and meet players' needs. We're able to flex the inventory of these shorter reservation times for peak demand periods. This does three things that are wins for our players and our business. Number one, meets a shorter time frame need for some groups. Number two, expand the inventory we have in a day and creates the opportunity for an extra turn of a bay. And number three, optimizes F&B spend per visit. Approximately 1/3 of our players are already selecting 90-minute reservations. Given the success of our 90-minute reservation, we've also rolled out 60-minute reservations targeting late night occasions and are encouraged by the early player response. It meets a post-dinner need for a group meet up where the private suite like Topgolf experience within our Bays is unique and fun. To further enhance the player in playmaker experience, we've begun our rollout of the Toast point-of-sale system. We're in three markets so far and on track to have approximately half of our venues on toast by year-end. Toast will allow our bay host to service more bays, accelerate speed of service and over time, provide comprehensive mobile order and pay capability. Early signs from our teams indicate significant enthusiasm for ease of training and improved service times. We are very excited about the long-term impact this will have on the business. This summer, we have exciting marketing experience plans beyond the value offering expansion I've detailed. We're rolling out two new games, which will target social groups and competitive sports fans. We've also launched a Summer Fun Pass, outstanding family-oriented value that addresses our players' needs in the moment. What sets Topgolf apart is that we enjoy best-in-class brand regard and player experience metrics, holding the number one spot for fun and atmosphere. As we reset the brand positioning on value, we will appeal to both new and repeat consumers, thus setting up better same venue sales through this economic cycle. In closing, I'm very enthusiastic about the success of our new initiatives, are already having and the exciting launches we have for the summer and the fall. I believe this has the potential to be an incredibly important inflection point for Topgolf and set the brand for a successful future as an independent company. Thank you, and over to you, Brian.
Brian Lynch: Thank you, Artie, and good afternoon, everyone. Jumping into our Q1 results. Consolidated revenues of $1.09 billion decreased 5% year-over-year. This result was better than expected and was primarily due to the decrease in Topgolf same venue sales, the rightsizing of the Jack Wolfskin business and unfavorable foreign currency rates. Q1 adjusted EBITDA of $167 million increased 4%, primarily due to increased profitability in the Golf Equipment and Active Lifestyle segments. The majority of this improvement was driven by improved gross margins and OpEx reductions. The segment has also benefited from a planned $12 million incentive to terminate early our lease for our Japan headquarters. Approximately 2/3 of the incentive impacted the Golf Equipment segment and 1/3 affected the Active Lifestyle segment. Both segments will incur some incremental expense in subsequent quarters for the relocation of the Japan headquarters. Moving to segment performance. At Topgolf, Q1 revenue decreased 7% year-over-year due to the decline in same venue sales and the sale of the World Golf Tour business in December 2024, partially offset by revenue from new venues. Topgolf Q1 operating income decreased $15 million to a $12 million loss, while adjusted EBITDA decreased $16 million year-over-year to $44 million. These declines were primarily due to lower same venue sales performance, partially offset by ongoing cost reduction efforts. Moving to the Golf Equipment segment. Q1 revenue decreased 1% to $444 million year-over-year and was approximately flat on a constant currency basis despite a more competitive launch environment. Golf Equipment operating income increased 24% to $102 million. The $20 million increase was due to our improved gross margins, the impact of the lease termination incentive and other cost savings. In our Active Lifestyle segment, Q1 revenue decreased $17 million year-over-year to $255 million. This decrease is due to the planned rightsizing of the Jack Wolfskin business in Europe. Operating income increased $6 million to $31 million, primarily driven by cost savings at Jack Wolfskin and gross margin improvement for the total segment. Pushing gears to balance sheet and liquidity. Our available liquidity, which is comprised of cash on hand and incremental borrowing capacity under our credit facilities, continued to strengthen. As of March 31, 2025, our available liquidity increased $85 million to $805 million due to increased cash compared to first quarter 2024. At quarter end, net debt was $2.74 billion, including $258 million in convertible debt, up slightly from $2.68 billion last year due to increased venue financing, partially offset by a $50 million discretionary paydown of our term loan B. Excluding venue financing debt, which is essentially capitalized rent related to our Topgolf venues, but including the convertible debt, our REIT adjusted net debt was $1.22 billion, down $159 million year-over-year as a result of the increased cash and debt paydowns. Net debt leverage, including the convertible debt rose to 4.6x from 4.5x, and driven by higher venue financing. However, REIT adjusted net leverage, which includes rent interest payments, improved to 2.5x from 2.7x. We are comfortable with these leverage levels. Our inventory balance decreased $49 million versus the end of Q1 2024 to $654 million at the end of Q1 2025, due to the $75 million accounting reclassification of Jack Wolfskin inventory to current assets held for sale. Before moving to guidance, I want to provide a further update on our strategic initiatives. First, the sale of our Jack Wolfskin business remains on track. We have submitted our regulatory approval applications and are taking other applications in preparation for closing. We still expect this to close in late second quarter or early third quarter. With regard to Topgolf, we continue to believe that separating Topgolf from our core business will create value for our shareholders. As a result, we are actively pursuing various alternatives to affect the separation, including a sale, a spin or other transaction. At this point, we are still targeting the second half of the year to effectuate the separation with Q4 being more likely than Q3. However, conditions have changed a lot since we first announced our intention to separate the Topgolf business last September. We are, therefore, reassessing how much debt and cash each company would be capitalized with post separation to ensure that both companies have sufficient liquidity and are in a strong financial position in a spin scenario. In the case of the core business, this means having a clear path to be at approximately 3x or less leverage in a reasonable amount of time. And in the case of Topgolf, this means having no more than modest funded debt leverage. All in all, our original objective remains the same: to unlock the value of both businesses, minimize execution risk and create two strong, well-capitalized companies with compelling futures. Now turning to the balance of the year outlook. As a reminder, our Q2 and full year guidance continues to include the full financial impact of the Jack Wolfskin business. Assuming this sale closes in late Q2 or early Q3 as expected, the guidance will automatically be adjusted to exclude the Jack Wolfskin results for the balance of the year as of the closing date. While we are not updating our guidance for the Jack Wolfskin business at this time, we have provided in our earnings release today, the amount of planned revenue and adjusted EBITDA attributable to the Jack Wolfskin business in our budget this year, including estimates for the first half. Given current conditions and trends, we are revising our Topgolf same venue sales guidance from down mid-single digits to down 6% to 12%. As a result, we are also lowering our full year Topgolf revenue estimates to $1.680 billion to $1.790 billion, which is $45 million lower than previous guidance. However, we are maintaining our adjusted EBITDA guidance for Topgolf of $240 million to $300 million as our cost savings initiatives are offsetting the expected decrease in revenue. We are reiterating our consolidated full year revenue guidance of $4.0 billion to $4.185 billion. However, in light of the decrease in Topgolf revenue estimates, we are currently tracking below the midpoint of this guidance. We are also reiterating our adjusted EBITDA guidance of $415 million to $505 million. Both the revenue and adjusted EBITDA estimates are subject to adjustment for the expected sale of the Jack Wolfskin business. We were able to maintain our consolidated guidance despite the current macroeconomic headwinds and because of our strong start to the year, improving foreign currency rates and the actions we have taken and continue to take to reduce cost and mitigate the estimated $25 million impact of the current tariffs. This guidance does not assume further tariff escalation or a meaningful worsening of economic conditions. In addition, our guidance today is based upon recent FX rates, but our revenue in particular is highly sensitive to fluctuations in such rates. Regarding free cash flow, we continue to expect to be free cash flow positive at both the total company and at Topgolf in 2025. Now turning to Q2. In Q2, we are forecasting consolidated revenue of $1.075 billion to $1.115 billion versus $1.158 billion in Q2 2024. This year-over-year decrease is due to a more competitive launch environment and shift in shipment timing in the Golf Equipment business. The continued impact from the rightsizing of the Jack Wolfskin business, the negative impact from the sale of the WGT gaming business in December 2024 as well as a projected decline in same venue sales. We estimate adjusted EBITDA to be in the range of $139 million to $159 million compared to $206 million in the prior year. This decrease is due to the projected decrease in revenue and an approximate $22 million impact from increased FX hedging losses, incremental tariffs and the sale of WGT. In summary, given the tariff volatility and softening consumer, visibility is limited, but we are providing our best estimates today. Fortunately, we were proactive in our gross margin and cost reduction initiatives, which, along with improving FX rates are offsetting much of the impact of these macroeconomic headwinds. Importantly, we are well positioned in terms of our available liquidity for our business and the planned separation of Topgolf. In the meantime, we are managing that, which is within our control, including managing discretionary spending and rationalizing any capital investments. Overall, we feel good about our start to the year and believe we are well positioned not only to navigate this short-term volatility and emerge a stronger company, but also create a shareholder value as we do so. With that said, I would now like to turn the call back over to the operator for Q&A.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question today is from Matthew Boss with JPMorgan. Please go ahead.
Matthew Boss: Great and I appreciate all the color. So maybe, Chip, on the core Golf Equipment business, any change in the industry backdrop that you've seen so far for the segment. Can you touch on sell-through rates maybe on some of the key recent launches? Or just any change to your organic outlook for this year in that segment?
Chip Brewer: Matt, the short answer is no, not really. The golf consumer remains strong, the markets remain solid, and the outlook remains positive with no material change. So, Golf business has been on a good role. It remains that way, and we feel good about the outlook there.
Matthew Boss: Great. And then maybe, Artie, as a follow-up. So, on the value reset at Topgolf, I guess maybe a similar question. How much do you attribute the softening that you've cited to macro relative to competition? And just maybe how best to consider the time line to scale the value initiatives or any feedback that you've seen from tests that you've initiated to date.
Artie Starrs: Sure. Well, I think on the macro front, the most direct impact we saw since last earnings would be on the event side. So, we're clearly seeing corporate spending pressure and that's pretty direct in macro. I think the brand has been around for a while, and we're very confident that the events business is super competitive and the experience and feedback we get on to this great. It's just the environment for event spending from corporates in particular is pressured. The consumer is definitely price sensitive. I wouldn't say that it's materially different today than it was 45 to 90 days ago. But what I'm excited about is the immediate response. I think the traffic numbers kind of speak for themselves. We're certainly investing in it with value and doing right by the consumer in this environment. But the immediate response is probably what I'm probably most enthusiastic on in this concept of it not only being compelling, but accessible. This is an environment where you've got to give value to -- we have to give value to our players when they can use it. So, I think last time we talked a little bit about the shorter time period, this is we're hitting the bull's eye. Sunday Funday is, I think, a perfect example of when -- at a time when families can use it and need it and they're showing up. In terms of the rollout timing, we're moving very quickly. I think we're moving faster than we had intimated last time. So, we have Sunday Funday. It's active in every venue of the venues have value attached to it. Topgolf Nights is in approximately half the portfolio now. And the early week value, which back to this concept of being compelling and accessible becomes more accessible as kids get out of school, we'll be monitoring that very closely as we get -- we're in the middle of a college graduation period right now and then schools start getting out of school across our portfolio here in the coming weeks. So, we'll be ready to activate it as we see it perform, but we're pleased so far.
Operator: The next question is from Michael Swartz with Truist Securities. Please go ahead.
Michael Swartz: Maybe just a follow-up to Matt's questions around the value repositioning at Topgolf, but maybe from a cost perspective. I mean how do you plan to manage the venue level cost structure going forward? I think you talked about venue level margins coming down a bit in the near term. But how do we think about that longer term?
Artie Starrs: Yes. So, we remain extremely confident. I think the last few years, we've grown venue margins in various sales environment. So, I'm as bullish as I've ever been on the long-term EBITDAR margin outlook for Topgolf. And I think what -- I'll just restate what we've said before, we think they can be north of 35%. We're choosing to invest in value at this point in time, and we're not going to compromise the player experience. We view this environment as a time that we can acquire customers. We can acquire players. And we're seeing new players and repeat players respond to the offer. And when this environment subsides, we'll be in a fantastic position. I view the investments and improvements we've made in venue level performance as appropriate and relevant for us to be investing value at this moment. Some of the specific things we have done, we've obviously taken a fair amount of cost out of our corporate overhead and some areas of the business that are outside of the venues. Inside the venues, I'd just say the efficiency metrics, we just continue, to -- every couple of quarters, we roll out another iteration of our labor model. When you change demand when people are coming in more on Sunday, Monday through Thursday, late night, Friday and Saturday, it gives you an opportunity to kind of refresh those models and our teams are just responding really well. So just continue to be very optimistic about venue margins in the long term, but we are investing in the near term in value.
Michael Swartz: Okay. That's great color. And just sticking on Topgolf. Maybe give us a feel for the cadence of the quarter. And just wondering, was there any impact from the Easter shift to the later Easter into the second quarter?
Artie Starrs: Yes, there's definitely a shift that kind of goes both ways for us, where Easter week ends up not being much of an event week. The flip side is, is it -- you got some -- kids are out of school and the brakes are a little bit different. So, it did shift it a little bit, but I wouldn't say that it was material in terms of month-to-month or informing our guidance. As I mentioned, we're pleased with the pickup of the walk-in side of the business in April, and events have softened, and that informs the guidance we put forward for Q2.
Operator: The next question is from Megan Clapp with Morgan Stanley. Please go ahead.
Megan Clapp: Wanted to ask a little bit about the cost savings that you've talked about. I think Chip and Brian, you both mentioned that proactive cost savings are positioning you to be able to hold the guidance today despite some -- despite the tariffs and the reduction in top golf revenue. When we think about the cost savings, has what you've done? Is it just coming in better than you anticipated? Or are there incremental cost savings you've identified? And if it is that latter, could you maybe just expand a bit more on the products versus top golf side, what some of those cost savings are?
Chip Brewer: Sure, Meghan. I'll take a cut at it. It's a little bit of both. So, we were aggressive at going after cost and efficiency improvements really starting this time last year and accelerating through the year. And then as we saw the conditions flashing more risk, which we clearly did going into this year as we saw FX headwinds and announced policy changes that were likely to be impactful, we've accelerated our efforts to manage those costs and improve efficiency. And it's really across all areas of the business. Artie can speak to Topgolf, but they did meaningful reductions in the corporate overhead, portions of which were last year, but then accelerated significantly this year. We have done the same here at the corporate side of Topgolf Callaway. We are driving further efficiencies in the operations side of the business. So, there's quite a bit going on, on all fronts there. But the fact that we had, had that -- those wheels in motion already and then just could continue and accelerate them, I think, has benefited the business a great deal, and it allowed us to -- that plus a strong start to the year has allowed us to hold our current position.
Megan Clapp: Great. That's helpful. And then maybe just a follow-up. Very helpful commentary on an update on the spin and how you think about leverage for both businesses. Wondered, you had previously said that Topgolf would be funded with -- I think it was approximately $200 million in cash as part of the separation plan. I wondered, if you could maybe give us an update on that number in particular and whether your view on the cash level has changed at all, just given how much the macro has changed?
Brian Lynch: Megan, it's Brian. You're correct. We did say originally that we -- plan at that time was to have no funded debt, just the venue liabilities with Topgolf and give them $200 million in cash. But a lot has changed since then. The whole environment has changed. And so, we're reassessing the capital structure. And while we're not ready to give specifics, I will say that we would expect to give them less cash at this point and probably a modest amount of debt, which they can easily handle. And this is all designed to make sure that both businesses are set up and that the RemainCo is not too overly levered.
Operator: The next question is from Lucas Hudson with Bank of America. Please go ahead.
Lucas Hudson: How much of the Topgolf same venue sales reduction was the result of April trends versus more cautious outlook in 3Q and 4Q from a softer consumer?
Artie Starrs: Yes. Thanks. This is Artie. I would say the primary thing that drove it is just the view on events. So, events in the quarter and then as we look out this quarter, that really is what drove the bulk of it. When we look at our walk in one- to two-bay business, we're seeing improved traffic trends, we're obviously investing in value and getting some SPV down year-over-year from that, but it's primarily three plus bay abouts.
Lucas Hudson: Got it. And then just staying on Topgolf same venue sales regarding 2Q guide. Could you just talk about what you have to do to hit the top or the bottom end of the guide?
Artie Starrs: Yes. I think it's an extension in my prior comment. I think the range of the guide contemplates the midpoint contemplates what we're currently seeing. And if three plus bay events were to come in worse than we currently expect, then that would inform that sort of the lower end or the worse end of the guide.
Operator: The next question is from J.P. Wollam with ROTH Capital Partners. Please go ahead.
J.P. Wollam: Just again, kind of thinking about the value reset at Topgolf and at risk of being overly reductive, I'm just curious like, is there a way that you're thinking about how much you're effectively trying to kind of reduce price, if I was thinking about sort of a weighted average in terms of hourly price per day. Is there just kind of a high-level way that you guys think like we need to be 10% to 20% lower?
Artie Starrs: Yes. I think it differs. And hopefully, with the detail we've given you, we're trying to be very methodical about this by venue, by market, by region, and then there's also a day and week part component to it. So, the data doesn't suggest like a crude percentage. The data suggests that there are certain times of the week and certain times of the day that we have an absolute right to win and if we have a more compelling price point, we can drive traffic, and we're seeing that. So embedded the breakdown I provided in the script, sort of 1/3, 1/3, 1/3 across the booking fees, alcohol attachment, we think, is something that's just price sensitivity of the consumer and then 1/3 coming from value, that's probably the best guidance I could give you across the whole revenue structure, if you want to call it that. What I might say is if you look at Sunday and you look at Topgolf Nights, depending upon the venue, that could be 15% to 20% of a venues volume in a given week. And if you think about gameplay being approximately half of our revenue stream, and then the price that we put into market could be 30% or 40% off of that. It kind of gets close to that 1/3, 1/3, 1/3 I share it as the overall breakdown.
J.P. Wollam: Okay. Very helpful. And then just one more. Chip, maybe more on a kind of high-level basis here. But we've heard from kind of a few different companies, maybe pleasant surprises about less impact from tariffs and understand that that's a moving target every single day. But I guess the one thing that is pretty repetitive is price being somewhat of a lever and ideally not one that anyone wants to pull, but definitely a lever that could help offset. And so, as we think about kind of the back half of the year and into next year, how much do you guys worry that you could see a good amount of price increases across the industry and it might kind of slow some demand headed into next year?
Chip Brewer: Yes, JP. Obviously, that's something that we give quite a bit of thought to. And we have three different segments of business, and all three of those segments have unique and different positions as they relate to the consumer. So, if you look at our Golf Equipment business, we do not -- we think we have the ability to take price there. In other words, the elasticity of demand to price isn't particularly high. If we deliver a pleasingly different demonstrably superior product, and have to raise price a little bit, it has proven over time that the consumer will generally accept that price with minimal impact to demand. And – so, we're in a fortunate position there. It's also a relatively wealthy consumer that's highly passionate. In the Active Lifestyle category, it's a little less clear than that. It's a little more sensitive to price than Golf Equipment, but not overly sensitive. We again are in a premium category with TravisMathew being the anchor brand remaining in that category in addition to Callaway. So not highly sensitive but not as potentially inelastic as the golf equipment business. And then Artie's business at Topgolf, that consumer is roughly $100,000 a year consumer on average and value positioning there and proposition is turning out to be fairly relevant for us, and we're taking the appropriate steps there. But in the product side of our business, we think we're relatively well positioned. And as you could tell, we also have -- the ops team has done a nice job. We're not really in China in any meaningful or noticeable manner. And so, the tariff impact isn't as big as it is for some others, plus our ability to manage through the process is certainly, we think, higher and proven.
Operator: Next question is from Casey Alexander with Compass Point. Please go ahead.
Casey Alexander: I only have a couple of questions. First of all, Chip, did you get the sense that some of the strong results in the Golf Equipment division were from orders pulling through early and kind of front-running the tariff regime?
Chip Brewer: We did not see that in Golf Equipment, no, not from our customer base.
Casey Alexander: Okay. That's fine. Great. Secondly, it sounds like the value proposition is driven towards the one-bay -- the one- to two-bay, and yet I heard a couple of times that a lot of the softness is in the three plus bay. Is there also a value orientation program driven towards the events business? Are you thinking of the Events business as something that's temporary corporations will come back and it's still a high-touch premium product?
Artie Starrs: Yes. Good question, Casey. I think what we're doing on the event side is we're offering more kind of local regional flexibility just in the direct sales channel. So, you wouldn't necessarily see it on the rate card, so to speak. But we're trying to win every sale that's out there and giving our teams the flexibility and incentives to do that. But we agree with you. We think we have a great product, and it is a premium product. It's good value, too. But how you approach it in the market via advertising presentation on the website is just a little bit different than the player-facing business or the one- to two-bay business.
Chip Brewer: Yes, Casey.
Casey Alexander: If I understand what you're saying, then it's on a call-by-call basis and the sales rep has the ability to compete with, if its Bolero or whoever you're competing with?
Artie Starrs: That's right. And I'd say, it's a little bit more than a call-by-call basis where we'll have like a day of week where we'll have a specific promotion that we're trying to push through, through the events channel. But it's a bit more market by market versus "across the entire portfolio at ex price."
Casey Alexander: Sorry to interrupt you, Chip.
Chip Brewer: No, that's okay, Casey. And this is probably something you already know. But the events business isn't as sensitive to price as the consumer channel is, right? What's going on right now in many cases is just corporations are pulling back on all discretionary spending. And if somebody came in and said, "Hey, Chip, I can get a great event, but it's going to be 10% off, what do you think " The answer is still no. And so, we're finding that the consumer is responding very clearly to the quality of the product we're putting out at Topgolf combined with good value. And the event is just less responsive to that. It will turn around with overall corporate confidence more than it will respond to value, but we are providing some.
Casey Alexander: Sounds to me like it's time to have a no tariff pricing night at Topgolf.
Chip Brewer: There are no tariffs at Topgolf, Casey.
Operator: The next question is from Noah Zatzkin with KeyBanc Capital Markets. Please go ahead.
Noah Zatzkin: I guess nice margin improvement on the equipment side. So, I was wondering if you could kind of talk a bit about the drivers there and how you're thinking about equipment margins this year in general.
Chip Brewer: Yes. Thank you, Noah. We appreciate it. We were really pleased with that as well. So, we saw improvement in OpEx, but particularly, we saw improvement in the gross margin. So gross margin was up a couple of hundred basis points year-over-year. And we were pleased with that. It's coming from multiple areas and these initiatives that we put in place over the last several quarters in terms of improving our yields, freight, operating efficiency, working on the mix, et cetera. It comes from lots of different areas, but it's starting to manifest itself. Now having said that, the tariff impact that we will experience and we will mitigate portions of it, but we will have some level of tariff impact that will obviously start to manifest itself increasingly through the year, and was -- did not have any significant impact in Q1.
Noah Zatzkin: Great. And maybe just one on kind of the industry. Any sense of maybe how retail or the consumer behaved on the Equipment side in April? And any sense of kind of the promo level that's out there right now?
Chip Brewer: No real change. The golf consumer remains solid and fully engaged and promotional activity is either consistent with how it normally is or maybe even a little bit better.
Operator: The next question is from Joe Altobello with Raymond James. Please go ahead.
Joe Altobello: Just a quick question on Topgolf. You mentioned you're taking out a lot of corporate costs here. And at the same time, you're prepping that business for potentially a sale or spin, with the spin-off potentially requiring additional infrastructure, how do you balance the need to take out costs with the need to maybe build up some of the capabilities in that business ahead of the spin? And does that impact your decision on a sale or spin at all.
Brian Lynch: Casey, I think that we are -- I mean sorry, Joe, I think we are open to whatever create some most shareholder value. So, we're analyzing spin or sale, we will explore that and do whatever creates the most. We are continuing to do the cost reductions, which are -- as Chip mentioned, which are funding a lot of the initiatives we have out there now and balancing that with, but there's not that much incremental costs we're going to have to add for Topgolf to go stand-alone.
Joe Altobello: Okay. And just maybe a quick follow-up, just to clarify on the tariffs, the $25 million, does your guide assume that you mitigate pretty much all of that?
Chip Brewer: We don't specify how much we mitigate of that, but it is all included in our guidance. Does that make sense?
Joe Altobello: Yes, it does.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Chip Brewer for any closing remarks.
Chip Brewer: All right. Well, I want to thank everybody for joining us today. Enjoy the rest of your spring and into the summer. I hope you get out and play some golf, maybe visit Topgolf. We look forward to updating you further on our next call, which will be end of the summer. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.